Operator: Good day, ladies and gentlemen. And welcome to the Everbridge, Inc. Third Quarter 2017 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session, and instructions will follow at that time. [Operator Instructions] As a reminder, this call may be recorded. I would now like to introduce your host for today's conference, Mr. Kenneth Goldman, Senior Vice President and Chief Financial Officer. Sir, please go ahead.
Ken Goldman: Good afternoon. And welcome to Everbridge's earnings conference call for the third quarter of 2017. This is Ken Goldman, Chief Financial Officer of Everbridge. With me on the call today is Jaime Ellertson, CEO and Chairman. After the market closed today, we issued a press release with details regarding our third quarter results, which can be accessed on the Investor Relations section of our website at ir.everbridge.com. This call is being recorded and a replay will be available on our IR website following the conclusion of the call. During today's call, we will make statements related to our business that maybe considered forward-looking under federal securities laws. These statements reflect our views only as of today and should not be considered representative of our views as of any subsequent date. We disclaim any obligation to update any forward-looking statements or outlooks. These statements are subject to a variety of risks and uncertainties that could cause actual results to differ materially from expectations. These risks are summarized in the press release we issued today. For a further discussion of the material risks and other important factors that could affect our actual results, please refer to our filings with the SEC, including our recent 10-Q and 10-K filings. Also during the course of today's call, we will refer to certain non-GAAP financial measures. A reconciliation of GAAP to non-GAAP measures is included in our press release. Finally, at times in our prepared comments or responses to your questions, we may offer metrics that are incremental to our usual presentation to provide greater insight into the dynamics of our business or our quarterly results. Please be advised that we may or may not continue to provide these additional details in the future. With that, let me turn the call over to Jaime for his prepared remarks.
Jaime Ellertson: Thanks, Ken, and welcome to all of you joining our third quarter of 2017 earnings call. We are pleased with our performance in the third quarter. We exceeded our guidance and generate strong growth while continuing our mission of keeping people safe and businesses running. Revenue in the third quarter was $27.3 million, well above our revenue guidance and an increase of 37% from year ago, with growth driven by new and multi-product deals, as well as greater number of large strategic transactions. And at the same time, continuing our balanced approach to delivering revenue growth with increasing profitability. Our strong topline performance contributed to an adjusted EBITDA in Q3 that also exceeded our guidance at a positive $0.8 million. Strategically, we continue to focus on several key priorities that drive the long-term success of our business. First, continue to grow our core public and large enterprise Mass Notification business; secondly, winning more and larger multi-product sales; and third, accelerating our critical event management as I will refer to routinely CEM strategy. First, a few words about our core Mass Notification, Incident Management products and businesses, which I will routinely refer to as just Mass Notification in my remarks today and our long-term growth strategy. Our growth strategy for our core Mass Notification solution begins with our public sector vertical wherein Q3 we closed one of the largest state contracts ever awarded the State of New York. The New York State contract is a long-term multiyear contract that upon implantation could generate millions and annual subscriptions as we onboard New York's 20 million citizens. In addition to our public sector success during Q3, we closed numerous new Mass Notification customers across all our other verticals both in the U.S. and internationally. Our ability to expand our core business is based on our clearly differentiated platform which continues to deliver market best scale, speed, reliability, global reach and security, and our public and large enterprise go-to-market strategy. This go-to-market strategy includes our focus on large state and local organizations like Washington DC, the State of New York, the State of Florida, an area of accelerating success that is supported with a robust pipeline of future large opportunities. Next we have invested in FedRAMP expansion project which upon certification expected early next year will enable us to open up the broader federal government market, a space we believe could easily double our total government sector opportunity over the next few years. And rounding out, our market opportunities is our growing expansion in Europe and the broader international markets where our scaled, secure, high performance global platform helps us win a disproportionate number of large regional government and infrastructure projects, as well as the larger Fortune 1000 enterprises that are trying to protect people and facilities during critical events. Our second priority is driving multi-product sales, which continue to create larger and stickier customer relationships. Our platform enables customers to leverage a common infrastructure for the management people, physical assets and processes during critical events, increasingly resulting in multi-product purchases. During third quarter we closed multi-product transactions that set new records for Everbridge at top corporate customers. These transactions include our largest CEM deal to-date with one of the world's most valuable brands and one of the world's leading banks, closing our largest multi-product international deal to-date. We continue to innovate the ways our applications can be better integrated across the platform, as well as drive the prophecies to achieve better life safety and security reflect people, as well as ensure businesses can continue to operate profitably. Our growing number of large multi-product deals are producing two clear benefits; first, they are generating substantially larger ASPs, our top 10 deals in Q3 came in almost 5 times our average single products deal; second, they are increasing our renewal rates, during the quarter our overall renewal rates continue in the mid-90s, by the way that's not including upsells, which is already best-in-class. However, our customers with two or more applications on the platform have even higher renewal rates and customers that have purchased three or more products have renewal rate of close to 100%, now that’s sticky. Our third priority is advancing our critical management strategy which continues receives strong early market adoption from customers that take a single pane of glass solution that enables major organizations to identify critical events or threats anywhere in the world, assess the intersection of their organizations people or assets who may be at risk then automatically launch standard operating procedures to respond with Incident Management and facilitate communications and collaborations to ensure people safety and the continued business operations. Our CEM solutions is gaining rapid adoption in larger enterprises and delivering real value to customers. During the third quarter we recorded number of exciting new CEM wins, including our larger CEM sale to-date, one of the world’s most valuable brands, as well as purchases from leading retail and technology companies. These customers are making bigger bets on our CEM strategy and vision with an average spend of approximately $0.5 million which is up significantly over Q2. In addition to these accelerating go-to-market strategies we continue to believe that we can drive our business forward to the balance model that deliver solid growth, stable gross margins resulting in continuous improvement of our positive adjusted EBITDA. To put it [inaudible] (220/5), our strategy is working and our results show it. Now allow me to review a few of our key operational metrics from the third quarter. Q3 we added 119 net new customers, which is consistent with past quarters and brings our total customer count to 3,560, an increase of 16% from year ago. Our growth is also being driven by our increasing average revenue per customer, with multi-product deals and increasing CEM bookings becoming a meaningful additional dimension to our growth story. In Q3 we closed over 10 $100,000 deals and 55 multi-product deals and increased from 42 that we closed a year ago and a year-over-year increase of 31%. These multi-product deals lifted our average sales price to $41,000 a year-over-year growth of 32%. Our revenue from international sales continues to grow at approximately 10% of total revenue in Q3 as we continue to penetrate the significant opportunity we believe exists outside the U.S. And finally, our new products at Safety Connection, IT Alerting, Crisis Commander, Visual Command Center, Community Engagement and Secure Messaging represented 42% of all new growth sales that’s up from 36% just last quarter and 28% over Q3 of $2016. Now let’s review the third quarter results in more detail, our performance can be characterized by strong individual solution success, increase multi-product wins and a growing number of large transactions for our CEM suite across all of our end markets. In our largest vertical corporate, we signed our largest CEM deal to-date with the world's most valuable brand to power their safety and security operations for their global facilities and over 100,000 employees, including their new corporate headquarters. This new CEM win is a significant validation of our CEM strategy and also marks the largest Safety Connection sale to-date at over three quarters of $1 million. This is a significant increase in the ASP from those initial early CEM deals we were mentioning just a few quarters ago that range from $200,000 to $400,000 in annual current revenue and helps us prove the growing value of our CEM suite. Another interesting CEM deal that closed in Q3 was our land-and-expand opportunity, as I often referred them growth deal, with one of the world's leading mobile players who was already a customer of our Visual Command Center. This international company recognizes they had a gap in their ability to provide employee safety and security globally and chose our single pane of glass CEM solution to implement integrated system covering of 50,000 employees across the globe. This gross sale included the addition of our Mass Notification, Incident Management and Safety Connection application to the existing Visual Command Center installation to equal our full CEM suite and enable us to double the size of this annual relationship to over $500,000 per year in subscription revenue. Other CEM sales in the quarter included another one of the world's top three software companies and one of the world's leading social media companies, both choosing three or more of our CEM applications and driving their subscription spend with us to over $0.5 million per annum. Staying within the corporate vertical, allow me to highlight several other very significant new and growth transactions including a number of multi-product wins that drove our larger average sales price in the quarter. For our core applications the Mass Notification, Incident Management we saw major wins at organizations like one of the largest insurance brokerages, who had no current Notification solution placed, and I quote, were blown away by our CEM vision versus all of our competition. Another Q3 corporate win that was interesting was because of its speed to close. This leading chemical company purchased our Mass Notification and Incident Management solutions for their entire employee population just 90 days, start to finish, after visiting a satisfied Everbridge customer. In Q3 was another record-setting quarter for our Safety Connection application where we saw important new wins at organizations such as a leading manufacturer of wearable, health and fitness devices who chose our Safety Connection Pro package after an RFP where we were told our solution was three times more expensive than our competition, but still got the nod, because of our ability to deliver both critical communications and mobile employee safety and security. Our second interesting Q3 win for our Safety Connection solution was a selection by the second largest global legal firm, who chose Safety Connection Pro to help protect and communicate to its 15,000 employees across 77 global offices And then, maybe one final Safety Connection win in the third quarter included the only big three global business consulting firm that was not already in Everbridge customer. By the way, this sale was also important because this win came in combination with our strategic partner International SOS. In the third quarter, we also signed our largest corporate IT Alerting deal to-date. Approximately $750,000 in annual current revenue, which we closed with one of the top three technology companies in the world. And by the way this is a different technology company that I previously mentioned. This leading technology organization already was a small Everbridge customer think sub 50,000 and chose our IT Alerting solution to reduce their IT incident response times by 40% globally across the dev ops and service ops teams. In Q3 we also recorded numerous other IT Alerting wins several by about $100,000 from big international wins, including one I will highlight later, as well as another one of the top U.S. legal firms. Moving on to our public sector vertical, we are excited about the State of New York win, but even more eager to continue to pursue our robust pipeline of large potential new cities, counties and states, which we believe will lead to additional contracts in the next few quarters. During the quarter, we saw other large governmental transactions closing including organization like San Antonio Water District where we won another competitive battle for our resident employee verification system, a seven-figure multiyear transaction or counties like Fort Bend, Texas, that needed to prepare for hurricane Harvey and obtained federal funding to purchase Everbridge for all their citizens for the next five years at over $100, 000 per year. And finally, as an example of our network effect in the works within major metropolitan regional markets for City of New Orleans, an existing Everbridge Mass Notification customer purchased Community Engagement after successfully piloting our solution to communicate with over a 1 million visitors that attended [inaudible] (14:26) last year. Rounding at our public sector business, I would like to provide a few highlights from our continued success in the higher education space. In Q3, our education team kept rolling with wins at Apollo Education, the global education group that includes University of Phoenix, another seven-figure multiyear deal for hundreds of thousands of employees and students worldwide, as well as major universities like Michigan State and Rice University. In healthcare space, we continue to record big wins including a large enterprise agreement for Mass Notification at one of the largest health systems in the country, which includes 45 hospital campuses, more than 8,200 licensed beds in nine states. Hurricane Matthew highlighted the need for this health system to improve their ability to communicate during critical events for patient care and protection of employees. This is a three-year deal with the value of almost a $1 million. A few other great wins in Q3 in our healthcare vertical include one of New Orleans leading hospital groups which shows our Mass Notification and Incident Management solutions to unified communication across all their locations for approximately 10,000 employees. Beyond Mass Notification we saw our other applications and packages registered new wins with organizations like Novartis selecting IT Alerting solution and our Crisis Management Systems bundle being chosen by PeaceHealth, an existing healthcare customer and the deal that grew our annual recurring fees by six figures. Finally, our international partner efforts in Q2 resulted to some very significant wins beginning with a growth deal at one of the largest banks, who selector our IT Alerting solution to unify their global IT response across their operations in 70 countries around the world. This win was the largest international win to-date for our IT Alerting solution. In addition, our international team recorded new ITA win at Home Plc and BCD Travels, as well as Mass Notification win at organizations like Xperia. And during Q3 we saw solid traction with our partner efforts, developing wins with strategic partner International SOS at San Jose, Universal Music Group, who selected the combination of Everbridge International SOS for a complete employee global safety solution for an annual subscription valued in six figures. Additional reseller deals included [ph] Lenel brand such as Yolks (16:41) who bought both our Mass Notification and Safety Connection through our reseller. We are also expanded our overall channels program and support for our CEM vision with the announcement of new reseller relationship with one of the world's largest security organizations G4S, who will be working with Everbridge [inaudible] (1659) and Safety Connection and our CEM suite in their customer base of leading organizations around the globe. While we are excited about this performance from a financial perspective, we are also proud of the value our customers realize in real life safety, as well as business ROI for our solutions, from hurricanes in the southeast to earthquakes in Mexico to mass shootings out west, our customers will face with a growing number of critical events. During the recent cat five hurricane in the State of Florida used our Mass Notification solution delivered tens of millions of messages tell people prepare, evacuate and cover, as well as our Community Engagement solution to reach almost a 1 million visitors and residents who signed up during the event to receive mobile warnings and updates, all without a hitch. And throughout this multi-day event, Everbridge delivered over 70 million messages for organizations around the globe all without a hitch. We are proud of solution performance in the event like Hurricane Irma, but were utilized for far more than life safety and security during the course of these events. An interesting used case from Irma was one of the nation's largest retailers who initially utilized Everbridge to execute safety checks on thousands of employees but then as the hurricane passed over the state, turned its attention determining which of the hundreds of stores in the affected area were capable of opening for business. The challenge was to match the available employee population, those capable of working immediately after the storm with the undamaged stores capable of serving the public. Utilizing Everbridge they were able to match available stores with employees available to serve them enabling hundreds of stores to get back to business quickly as possible, hundreds of stores spend thousands of dollars in sales, while you get the picture a wicked good ROI for Everbridge solutions. And this is just one example of how our customers experience substantive business ROI, as well as life safety benefits. Sticking with the theme of Everbridge ROI is the used case of CareConverge solution. This is a combination of our Mass Notification, Incident Management and Secure Messaging solutions for hospitals. Hospital emergency departments using our CareConverge have seen over 10 million in incremental potential revenue by shortening emergency room stays, increasing effective capacity, improving patient outcomes, all enabling increased revenue. CareConverge does this on a daily basis by spending -- by speeding the activation response teams and improving efficiency and quality of care for strokes, heart attacks and other urgent medical issues. In Q3 CareConverge was chosen by a regional 600-bed hospital system to improve communication and collaboration across 4,200 physicians, nurses and staff, and streamline processes for emergency room patient transfers within the hospital. This increasing efficiency will enable them to improve effective capacity and drive both better patient care and higher revenue. As a last topic allow me to provide a short update on our major platform investment projects we continue to focus on like our FedRAMP and Atlas programs. Our multiyear FedRAMP certification project includes a substantial enhancement of our overall security processes across our people, applications and infrastructure, with hundreds of new security controls implemented then audited by the government to meet stringent requirements of both the federal and large enterprise markets. We believe gaining FedRAMP certification early next year will open the federal marketplace for our products potentially more than doubling the size of our public sector opportunity. Our second major infrastructure project called Atlas will automate all infrastructure deployment and provisioning tests which will significantly reduce the time required for us to deploy new products and support new geographies. In addition, the Atlas project includes a significant enhancement to our infrastructure resiliency, including to our active-active geographically dispersed architecture that supports our best-in-class SLA. And our technology continues to win awards with the Safety Connection awarded securities best at North America's leading tradeshow for security practitioners ASIS. In summary, our strong third quarter performance was characterized by deals that often sold at higher levels in our customer's organization, as those with the duty of care and operational responsibility looked to Everbridge for our robust differentiated critical event management solutions. I am excited to see both core products like Mass Notification and newer products, including IT Alerting, Safety Connection and Visual Command Center contributing to our growth, increasingly in larger multi-product transactions. With this foundation we believe we are establishing ourselves as a leader in critical event management and that increasing demand for our unique solutions will drive growth and profitability as we look ahead. Now I would like to turn the call back over to Ken for details of the financial performance during the quarter and for our outlook for 2017. Ken.
Ken Goldman: Thanks, Jaime. I will provide some more detail on our financial performance for the third quarter and then discuss our outlook for the fourth quarter and the year. Revenue in the third quarter of $27.3 million was above the high end of our guidance range and represented growth of 37% from a year ago. Our stronger than expected topline performance also contributed to adjusted EBITDA that also exceeded our expectations, coming in the gain of $807,000, an increase from adjusted EBITDA of $335,000 a year ago. Our dollar-based net retention rate remains above 110% reflecting a significant value and satisfaction we provide to our customers. Now I would like to turn to the details of our P&L, unless otherwise indicated, I will be discussing income statement metrics on a non-GAAP basis. A reconciliation of GAAP to non-GAAP measures has been provided in the earnings release we issued earlier today. Gross profit of $19.6 million increased 37% from a year ago and represented the gross margin of 72% consistent with a 72% -- 72.1% we reported a year ago, but down from 72.5% in Q2. This sequential decrease is primarily due to the significant increase in messages delivered in the third quarter, given the number of natural disasters our customers faced in the quarter. As we've indicated before, while gross margins can fluctuate from quarter-to-quarter over the longer term we expect to drive gradual improvements as our business continues to scale. Total operating expenses were $20.4 million in the quarter, an increase of 34% from year ago, reflecting product and infrastructure investments to support our long-term growth, as well as increased headcount and related expenses associated with the acquisitions made in the last year. As I noted, adjusted EBITDA for the quarter was a gain of $807,000, an increase from $335,000 a year ago. Net loss in the third quarter was $600,000, an improvement from a loss of $1.1 million in the year ago quarter. Based on 28.1 million basic and diluted weighted shares outstanding net loss per share was $0.02 for the third quarter also better than our guidance. Turning to our balance sheet, we ended the quarter with $47.7 million in cash and cash equivalents and short-term investments, an increase from $45.3 million at the end of the second quarter, primarily due to $7.5 million in operating cash flow, partially offset by $3.4 million in CapEx and capitalized software development costs, as well as $3.8 million in acquisition-related contingent payments. Total deferred revenue was $64.5 million at the end of the quarter, an increase of 32% from year ago. Impacting our year-over-year change in deferred revenue and calculated billings which grew 27% from last year was an unusually large invoice in the third quarter of 2016 creating a more challenging comparison. As we've noted on prior calls, our deferred revenue balance at the end of any quarter can vary due to a number of factors as such even though we have predominately annual payment terms, deferred revenue is not always a meaningful indicator of the underlying momentum in our business from a quarterly perspective that we believe it is directionally relevant over the longer trended period. Now let me turn to our outlook. With a better than expected third quarter performance and continued business momentum, we are increasing our full year expectations for revenue and profitability. For the fourth quarter of 2017, we expect revenue to be between $28.4 million and $28.6 million. We anticipate an adjusted EBITDA between $900,000 and $1.2 million. Adjusted EBITDA guidance assumes an estimated stock-based compensation expense of approximately $3.8 million for the fourth quarter. We anticipate a non-GAAP net loss of between $700,000 and $400,000 or between negative $0.02 per share and negative $0.01 per share based on 28.2 million basic weighted average shares outstanding. For the full year we now anticipate revenue to be in the range of $103.5 million to $103.7 million, representing year-over-year growth of 33% to 35%. We are now anticipating an adjusted EBITDA loss of between $800,000 and $500,000 for the full year 2017, which includes positive adjusted EBITDA for our core business offset by losses from our acquisitions earlier this year. We now expect a non-GAAP net loss of between $6.8 million and $6.5 million for the full year or between negative $0.24 per share and negative $0.23 per share based on 27.9 basic weighted average shares outstanding. In summary, we delivered a strong third quarter performance characterized by larger deals which exceeded our expectations. We are excited about our continued progress in the marketplace and our strengthening leadership position and are confident we can continue to penetrate the multi-billion dollar opportunity ahead of us. With that, Operator, can we now open up the call to questions please.
Operator: Thank you. [Operator Instructions] And our first question comes from Richard Davis with Canaccord. Your line is open.
Richard Davis: Hi. Thanks very much. So two quick questions, so if you think about the space you are operating in, it’s kind of, I guess, the lifecycle, right, so if you kind of think about you compare, you respond, you recover and you mitigate and you guys kind of started in response, you kind of been inching out from there. So, Jaime, how do you see the evolution of Everbridge into those other parts of critical event lifecycle or does that not make sense or -- and I know you don’t want to boil the ocean because you don’t want to do that. But just how do you think about the evolution of this company? Thanks.
Jaime Ellertson: Yeah. No. It’s a very good question as we do better and better we can tell you that we see needs that we don't necessarily fulfill today. As you said, we -- with VCC we clearly target the assessment of risk out there. We can tell you where risk is occurring because we can track thousand literally of different sources for threat and impact data and then cross that with and find the intersection with your facilities, assets or digital devices or things, IoT that are being affected and then we can help you launch an automated event. We don't yet manage the entire Incident Management cycle or Crisis Management cycle and so we said on past calls that's an evolution area for us either to build, buy or partner on and then we obviously communicate and collaborate and provide the tools to get information of the people that need to know to fix it, to repair it, to get out of harms way to stay safe, et cetera. And at the end of that we've stated again and again that we want to provide increasing analytics so that after an event like a hurricane or a mass shooting someone can look at it and say how do we get better next time, how do we reduce the impact to the business or it happens, how do we reduce the risk to individuals or in the worst cases the tragedies are happening, it seems almost daily, loss of life. And so there are couple areas in this that we still have to grow into. In addition to the suite of applications, I think, the other you will hear us continually talk about is, we use to sell the one or two areas of the business, business continuity, maybe IT, increasing we are selling at the head of supply chain, because that affects all the business operations when there is a major event, not only life safety as I suggested, but getting stores open and matching employees, so you could bring business back up or when there's a critical event how this affect your supply chains. So broadening the departments we serve in the organization and having that single pane of glass used by the entire corporation. Both more applications and broader use within an enterprise for the increasing number of critical events will drive our ASP and the total dollars and revenue and our addressable market.
Richard Davis: Thank you very much.
Jaime Ellertson: Yeah.
Operator: And our next question comes from the line of Michael Nemeroff from Credit Suisse. Your line is open.
Chris Rochester: Hey, guys. This is Chris Rochester on for Michael. Thanks for taking my questions. Congrats on the strong quarter. I was hoping to maybe get a little bit more color on the New York contract. Will you be able to provide any financial implications for the next couple years and any color into potential opportunities to expand that contract down the line and whether or not that opens you guys up the entrance to any new municipalities within the State of New York? Any color on that would be really helpful? Thanks.
Jaime Ellertson: Yeah. Thanks for your question. I mean, I think, we have provided most of the information we provided partially because it’s a public contract and you can kind of read for yourself. It is a multimillion dollar contract over multiple years. It like most of our large contracts takes a while to get geared up. So you'll see us increasingly start to build, but just because we have won the contract and announce it, it doesn’t mean it’s implemented the next day, as was case in the State of Florida or Washington DC. So that's just going to be coming online over the next quarter or two. And then, in addition to all that, yeah, obviously, a large win like that continues to put additional hope behind our public vertical efforts, because once you won State of Florida, the third most populous state, Washington DC, the home of our government and then New York, you pretty much run the table on two or three of the largest opportunities you can win in the U.S. and it brings us, I think, eight or nine of the top U.S. cities with states and so it does boost that business. But beyond that it's a contract that as we rollout we can -- we generate more services as we get citizens on Board and that will take a period of time to accomplish. But it's a multiyear contract. I think the contract actually seven years. So it's a long-term contract with a lot of upside for Everbridge.
Chris Rochester: That’s helpful. And maybe just one quick follow-up, I mean, it looks like you saw really great strength kind of across the Board, but was there anything in particular to highlight that was maybe the most surprising or the most unexpectedly positive versus your expectations in the quarter?
Jaime Ellertson: Well, I would tell you that we are hopefully not too surprised. We think that we are -- the CEM strategy continues to be a little bit ahead of track. We said that, because we acquired IDV last year and DCC will not be fully integrated into what we consider our pure SaaS environment until middle of next year, which it’s on track for right now and so that will then help put more hopes behind that whole major effort for us the general CEM and the fact that customers are buying that ahead of it being fully integrated i.e. 100% single instance multitenant SaaS is very, very reassuring and seeing customers that have VCC, as I mentioned, the large international telco choosing to go with us. They had VCC. They bought every other of the CEM suite and then doubled or past doubled their contract value into the over $0.5 million level. Those types of wins and the other ones that a top three software company or one of the other companies, I mentioned, those are very reassuring, because that's dead on spot with our strategy for -- to provide a single pane of glass across the enterprise for what no one I think with this recent sped news can argue is a growing list of critical events that affect you whether you are city, state or local government, scared the [inaudible] (34:23) with a gun that doing something or a major storm event like the multiple hurricanes we have had. Those all are driving increased kind of must-have solutions and higher visibility with higher ownership for us in major corporations. That's probably a little bit ahead of where we thought would be, so we are pretty encouraged by that.
Chris Rochester: That’s good. Thanks, guys.
Jaime Ellertson: You bet.
Operator: And our next question comes from the line of Scott Berg with Needham and Company. Your line is open.
Scott Berg: Hi, Jaime, Ken. Congrats on fitting the most number of largest I think I have ever heard in this company for.
Jaime Ellertson: You’re welcome.
Scott Berg: I think like a good quarter that was actually. I have two questions for you and both actually focus on that word large. First off, on that State of New York deal, Jaime, you mentioned, the Florida deal as well. How many more state opportunities are out there like those types of deals do you think versus the individual cities or kind of more municipality type ranges?
Jaime Ellertson: There -- well, so, one of things I tried to do since we have gone public. There is always the question for people, so how is your core Mass Notification business doing and do you have the opportunity to continue to grow that quarter-after-quarter, year-after-year for quite a few years, given it’s a large portion of your historical revenue base. And what I tried to set forth in this conference call with the larges was the clear explanation of our strategy, which is, yes, we continue to go after a core Mass Notification are based on Incident Management, those are core historic products that are used in emergency notification. And in the state and local and large county area, whether it's a major city municipality, a huge county that has multiple millions of people in it, like a Orange County, California, something. They can all be 300,000, 400,000, 500,000 up to several million dollars a year and are major wins and that fuels our public business. But in addition to that opening up the federal market which is a market that's a fraction of our overall revenue, that's a big opportunity too, so we spent about a year, year and a half now by the early next year Q1 where we want to be able to gain FedRAMP certification. We will be submitting our package we believe and then shortly after hopefully gaining certification and that opens up our federal market practice, which is we are saying equal to so has the opportunity to double that addressable opportunity for wins that are available every year. And what's good about the federal government is, there's a huge number of those deals equal to our 35%, 40% that is our state and local business today, our government business today, that are already signed and underway in the federal government and are up for renewal every year or up for win for us. We don’t have to go find those. There are fees that come out every year. We just haven’t historically participated in those. And then, we have the opportunity to expand internationally. On just -- so that's the strategy we’ve laid out. We want to make that real clear. There's three pieces to that and it allows us plenty of room to grow at our current growth rates with our core business for quite a period of time if we execute properly, because it’s a substantial growth than our overall kind of public market, addressable market. And then when you go back to state and local, we are only three deep in a market that includes $50,000 has a minimum and probably $200,000 when you think of large counties, large cities and states that could be meaningful wins, not at $50,000 or $100,000 win. And so, as I said, I'm -- we are not using the term -- the statement lightly, but we have a large healthy pipeline, a robust pipeline of those large county, city and state opportunities then we think you'll hear about more of them in the coming quarters. Pass that, there is -- I don't think there is much we can say. But if we just started to penetrate in the last two years that state opportunity and the business is 14 years old. So there is plenty of room for growth in that segment.
Scott Berg: I will leave you with there. Fantastic quarter. Nice job guys.
Jaime Ellertson: Thank you.
Ken Goldman: Thanks.
Operator: And our next question comes from the line of Terry Tillman with SunTrust. Your line is open.
Terry Tillman: Hey. Good afternoon. Jaime.
Jaime Ellertson: Thank you.
Terry Tillman: Can you all hear me okay?
Jaime Ellertson: We can.
Terry Tillman: Okay. So I add congrats on the quarter. First question just relates to the IT Alerting business. I know that’s one of those businesses that buying for kind of $10 million annual run rate at some point, hopefully sooner than later. Did you see any kind of short-term benefits or kind of abnormal activity post some of the high-profile ransomware situation such as WannaCry and just because of the cyber threat and the cyberattack that’s seemingly are out there every day. Has that change the growth trajectory of the IT Alerting business?
Jaime Ellertson: I think, honestly, that's been out there for quite a while, that we absolutely saw customers who cited that with WannaCry they needed to turn off computers and communicate the entire organizations, thousands of employees in Europe, for example, and one deal that I know of, international deal where they said they had to have something to quickly communicate to everyone and specifically make sure IT was doing its job and shutting down servers, et cetera to avoid the contamination from malware or certain security breaches like WannaCry. And so we have seen that. I don't know that changes the trajectory. The trajectory of that business is pretty good and this quarter signified our largest deal in the history of the ITA business and then our largest international deal. So I think in both cases we are pretty happy with that and it is moving towards that that magic $10 million number I think at an accelerated pace. So we are -- but nothing overwhelming. We didn’t see the trajectory double all the sudden. We don't want to mislead you.
Terry Tillman: Okay. And just -- the second question just relates to simplest press in the recent past, would seems like a great hire in terms of experience with Bob Hughes bringing him on Board. It seems like you have a lot of good things going on. Maybe a little bit more on the rationale bringing him on Board. What is he going to do versus what you're doing and could there be any kind of disruption or could there be some sort of change in some of the things you're doing. Just talk a little bit about this senior exec hire and what that means for the business as well? Thank you.
Jaime Ellertson: Sure. It’s great question. I mean, put very simply, our organization intends to grow fairly rapidly at a continuing pace. It gets harder as you get better, right. And I think a lot of organizations especially early public organization see that and part of the way, I think, you get around that is by having unique differentiated IT and continue to invest IT, you see us doing that as Ken marked in this quarter with our investments in everything from CapEx to the big infrastructure projects and then the most important thing we have is people. And so we started the top because you have to start to spread the responsibility and we will have to as I said multiple times grow everything for our enterprise sales structure and class of our enterprise organization and upgrade it, as well as the people lead it. And so, I hope it's anything but disruptive other than we want to make people sometimes a little bit uncomfortable with the continuing change we have to go through it, we had it and bringing in new leaders that have been there and done that just helps you avoid some of the errors that you’d make if you thought you could do it all yourself with the same exec team. So it's -- there's nothing unusual. You probably hear of additional new senior hires that we are making, not all of them. We go outside of Bob's reporting officer. So it's going to be very clear that he has joined, but we intend to continue to add pretty dramatically to the team and upscale positions as we go, because that that same team that got us 200 won't be by itself, the only team that gets us to 250. So nothing dramatic there, but the realization that given that's our most important asset after the investment in infrastructure and our product, we are going to continue to invest in new people. And Bob’s got the entire go-to-market. So he's focused going into 2018 on all the changes we need to continue to sell $0.5 million and then $1 million average sales instead of in our large accounts versus a couple $100,000 average sales two years, three years ago as we have talked about with CEM. And that requires new people with more experienced than we had, supporting the existing strong team that we already have.
Terry Tillman: Thank you.
Jaime Ellertson: You Bet.
Operator: And our next question comes from the line of Tom Roderick with Stifel. Your line is open.
Tom Roderick: Hey, gentlemen. Thanks for taking my question. Jaime, can you just expand a little bit more upon the FedRAMP expansion project for those not very familiar with. And can you talk about what it has meant to be included in this, where you guys have had to do from year end. How long that process has been and then what the go-to-market looks like from here through 2018 and ’19, when you think about to potentially doubling your Fed exposure?
Jaime Ellertson: Yeah. So we had historically like a lot of software companies not spent a lot of time with the federal government. We respond to requests from them. We don't go chase the federal government down. We have a history of a few million dollars in the federal government to be honest with you that I know, because of my long participation here seven years, eight year, nine years ago came as inbounds to us and that we certainly responded to, but we didn’t go chasing or making at a federal business, because in early days in the federal market they wanted you to be on premise with a standalone perpetual license product and that's not the church we go to. So our SaaS model is SaaS 100% throughout the organization and so we just -- we basically went with some civil government opportunities where there wasn't really a difficult getting an authority to operate or any of the advanced security protocols even for non -- extreme defense or security type of opportunities. As the cloud has grown in popularity as a way both to control and increase security and reduce costs, the federal government got on the bandwagon and created a program called FedRAMP, which requires a certain number of security controls, procedures and processes to be in place across all your people, your physical premises and all your systems, and it’s substantially more than the standard security that we deal with. And so it's been a multiyear project for us to implement those controls, to designate teams of people, to build out additional security, create different type of physical security within our data centers and controls on software, as well as the manageability and securitization of individual programs and applications. We are in the final stretch on that, where we are working with approved auditors to come in and check our process, procedures and software and solutions out, and we will be submitting in the not too distant future into our sponsoring organization within the federal government to gain certification and approval. There is extensive audit. But those are hundreds of additional security controls, which again can be physical, can be or technologically implemented within your solution. So most organizations that I talked to spend a year, year and half doing it. It’s a multimillion dollar project. What’s important for us with all that is, when we finish that, they can accept our product in a lot of scenarios where they wouldn't have taken with excess of the non-prime product, which again we don't have, not our church, not a religion. So for us the opportunity is to open up a market. We already know because of the contracts that are let to mainly a single competitor, which is not being competed against aggressively, so it's not a competitive market at all that are already awarded at a price point that’s in the order of 2x to 3x our average price point. So we do know it's a very attractive market, because our market is very large and we haven't had the opportunity to invest as much. We didn't do it before this past year, but about a year and a half ago we started down the path, increased our investment this year, when we deliver that and gain that certification, we can bid against all those opportunities well in excess of $50 million of established opportunities and then a lot more for other agencies that want to deploy Mass Notification, IT Alerting, our Safety Connection or Mobile Security type of products across the government. So it's a big opportunity. We think it’s easily gives us the opportunity to double the size of our current business if we were to win most of that on the government side. And it is an established market, it is -- doesn’t we have to go and hunt and pack for it, those are piece that come out every year for renewal or re-up a project, so we just have to bid there. So that’s the span of it and the opportunity that presents itself. And we intend to go-to-market with a federal team and some new leadership and our public sector added to the existing team, the unified and aggressively do that in 2018, of which some of which we are going to be hiring and adding this year.
Tom Roderick: Excellent. That’s really helpful. And another just a follow-on go-to-market question for you, I wanted to understand the go-to-market here on Safety Connection a little bit better. It seems like you're catching some real nice traction of that product, if you look at the 10 deals you signed over $100,000 this quarter or the 55 multi-product deals, will we see Safety Connection overlapping with the number of those deals. In other words, are you selling these to existing customers that are buying multiple product at a time and are they stacking up to some of your biggest deals, is this primarily standalone sale. Maybe just help us understand what the go-to-market looks like in Safety Connection and who you selling that to with success today?
Jaime Ellertson: So Safety Connection is, it principally delivers two big benefits for customers. One, it enables you to identify when an event happened, where your people are at and it adds the dynamic location from a static location. So we do Mass Notification today. It's typically the byproduct of a corporation or a city, state or government entity adding in static location for some. In other words, your address of an office building and you are on the third floor in the Citgo Building somewhere or the IBM Building or some customer organization or in a college campus, you teach out of this office or citizen you have this household address. Safety Connection adds the dynamic location capability to say, we are tracking a bunch of location variables, so we can now tell you that, Bob Hughes, is traveling right now in Germany. He checked in with his badge in the office building that we had in Germany, Munich today and we have his hotel and it’s artillery that says, he at the Hilton Munich. So chances are with those three location variables we can now say with 95% certainty he is in Munich, therefore when an event happens in Munich, we know that individual is impacted. And so it's the ability to identify dynamic locations of an increasingly mobile workforce, which is powering part of that product. The other part is, it's a mobile safety product, so give someone the ability to have a follow me capability on their phone, have a panic button on their phone and increasingly whether you think of it is a blue light on the college campus, well, this puts a blue light on a corporate campus or college and educational institution campus in your hand. So you don’t have to run to the closest light, you pick up your phone and press the panic button. And so the combination of those two is working to our advantage. Most of our teams that focus on Mass Notification or Emergency Notification can differentiate our product set by upselling and starting with Safety Connection, because it includes Mass Notification as a superset when it sold and so it is an upsell. But you can also think of it’s doubling the purchase price of the standard Mass Notification deal. So it shouldn't, no one should find it odd and we talk about it multiple times, but if you went back a year ago or even earlier, when we talked on the road to investors about our sales, they were in the $25,000 to$30,000 range and now the averages is $41,000, so it’s almost double that that and it’s on large deals it’s 3 times, 4 times, 5 times that as I said and that's because they're selling both Mass Notification and Incident Management and Safety Connection to be a total solution to communicate with people but not where their static location is where ever they are and then give them the capability to extend the security that is so common in a building, a bad swipe, a guard at the death to something that can enable someone that's on the road increasingly out in the field working with customers, doing service call and nurse calling on home or a social worker calling in a home or something, a mobile capability to extend safety and security. And in that we are disrupting that entire industry. That's why you are seeing so many of the large security firms become resellers and partners of ours. Does that help?
Tom Roderick: That helps a lot. Thank you very much. Nice job in the quarter. Appreciate it.
Jaime Ellertson: Thanks.
Operator: And our next question comes from the line of Brad Sills with Bank of America Merrill Lynch. Your line is open.
Brad Sills: Oh! Hey, guys. Thanks for taking my question. I wanted to ask one please on deal sizes, obviously, you see real momentum there this quarter and in recent quarters deal size is growing. Can you parse out new versus existing customers, CEM is one you pointed out, but just in general new products are ramping nicely, maybe little color on, what are customers doing of initial deal, are they adding more or is mostly coming from existing customers kind of buying into CEM and some of these other products on the renewals?
Jaime Ellertson: Yeah. So we break it down by new products new in growth as a percentage of total revenues. You can separate the core Mass Notification business and see that the new products are growing. Now that shouldn't surprise you, because we have built a number of new products into the platform and it should be growing. It was 42% versus -- and 30% some increase over previous quarters. And then on the multiproduct deals you can see we are selling more products out of the gate or to existing customers, because it was 55% versus only 42%, that’s the previous quarter. So handsome growth in both and along with that we saw some of the largest deals we have ever recorded in the quarter especially in the corporate market, which is important, because you see the big flashing New York State deals and we hope to continue to impress with big, as I said, a robust pipeline in the city, county and state deal area. But there are a limited number of those. There are 50 states compared to 2,000 major corporations in just North America, little on the Fortune 1000, Fortune 2000 globally that can spend virtually the same amount of money on a large enterprise-wide CEM deal. And so, I think, all three of those grew. We grew the number of -- the new products are ramping nicely, becoming a larger and larger percentage of revenue, so we are not reliant on Mass Notification. I tried to point out at the start of my prepared remarks that we have a very clear strategy for continue to grow Mass Notification for anyone that think that’s the deadline, think again, because we are going to continue to win big deals and we are continue to see success in that market and we have mapped out a strategy to take us three years out in growth in that, with the FedRAMP process opening the federal business and then going internationally with it. But then, in addition that, more multi-product deals up substantially and they were larger period. We saw some largest deals. The ITA already deal was almost a $0.25 million larger than anything we have ever seen. So, both in international deal that that was 3x any previous international IT deal and then the U.S. one, so all those are good indications that -- to put it bluntly that the strategy is working.
Brad Sills: Great. Thanks, Jaime. And then one more if I may please on the state deals, you have mentioned the past that you have seen a history of state wins pulling through cities and counties in that state. Can you comment on particularly Florida now that you have had about a year under your belt with that contract, have you seen that activity to your expectations and then should we expect that in State of New York as you roll that out? Thank you.
Jaime Ellertson: Yeah. It’s real simple. Yes, period! And then yes period!
Operator: And our next question comes from the line…
Jaime Ellertson: Operator?
Operator: Yes, sir.
Jaime Ellertson: Okay.
Operator: Our next question comes from the line of Brian Peterson with Raymond James. Your line is open.
Kevin Ruth: Hi, guys. Kevin here on for Brian. Thanks for taking my call. Really just one for me. As you think about the impact and after disasters or events can have on your business, do you view that is primarily a tailwind for driving adoption and initial customer demand or has there been any change in customer discussions, with they may be looking to increase budgets for this type of solution in terms where they have all the capabilities needed?
Jaime Ellertson: Yeah. I do think that's a great question. Because we are in a little bit of a perverse business, because the worse it gets out there in some senses people assume the better our business is. And certainly, the thing that happened is, in major organizations whether it's a city, a major state organization, I mentioned, organizations that had no solution historically, that’s increasingly more odd but what's happening is, major corporations are saying, we no longer believe this is a blip. We no longer believe that shootings in North America are one of the things we have to figure out, how to handle from a corporate standpoint, because whatever is happening out there in the governmental arena isn’t going to change our environment for years to come, for college campuses, for major international organizations with terrorism. They have to and are starting to step up with the duty of care and as I said, the elevated understanding in the organization that we need an enterprise solution here, we can't just put a check in the box and move on. So number one, they are accepting that this is not a blip nor is a trend, it's here for real, we have to deal with it. Number two, organizations are now starting to say, we need to deal with a more of a holistic solution that crosses all our departments and all of our people, because we will have people in the college campus in every part of the campus and the shooter enters the campus and starts doing something or hurricane comes in the Florida, how do we get our operations up and running as fast as humanly possible. And then third, the desire is there for a single pane of glass. They don’t want implement a Crisis Management system from vendor A, a assessment and tracking of Incident system from vendor B, and then, some Communication or analytic solution from vendor C and D. They want a single pane of glass just like ERP. So what's very positive for us coming out of a very negative set of events and no one can argue that the pace and number of critical events is as high as it's been in our history. And so when corporations and major government entities look at this now, they are saying I want a enterprise solution like I thought about ERP for my critical vents to tie in everything from, how I deal with the event to how it impacts my organization from a business standpoint, from a people safety standpoint. And so the large retailer I talked about is a great example of how organizations are saying first let me do the safety piece and then they are saying, wow, you created millions of dollars of potential savings or actual revenue by getting us up and running faster, and so I got to look at this solution that you're providing, CEM is a totally different solution and now you are talking to the CIO, the Head of Risk Management, the Head of Supply Chain guys that affect the revenue of the company, as well as our historic strengthen and base around security and safety. And remember the advantage we have is it's all on one platform. You put all those people. All those facilities office locations, buildings, you get all your travel in, you get all that stuff in and then it can be used as a single solution across the entire spectrum of how the organization lives and breathes in a global environment.
Kevin Ruth: Got it. Thanks.
Jaime Ellertson: You bet.
Operator: And our next question comes from the line of Mike Latimore with Northland Capital. Your line is open.
Nick Altmann: Yeah. Hey, guys. This is Nick Altmann on for Mike. Thanks for taking our questions. Just kind of going off that last one, can you guys just give us an idea of how the various events that happened in the quarter have may be increased inbound interest? I imagine you guys have seen increases in webinar attendance or something like that. So, I guess, any color on that would be really helpful?
Jaime Ellertson: Yeah. I simply stated that whenever that like this happens it drives attention. Active shooter is the number one thing a focus of corporate security and safety people in major organizations in the United States. It's different if you go to Europe. It’s terrorism, because they have a different set of dynamics working as you all know. But those events and they are across the spectrum. There is a -- remember there is a multiple earthquakes this last quarter, some causing hundreds of hundreds if not thousands of deaths across the globe. There were major terrorism events in parts of Europe, stunning one in the U.S. in New York. There were major mass shootings, not just one but multiple and so these events are increasing and when they happen they certainly drive attendance at webinars and as can our CFO says all the time in a space where you can think of it is, you're going to go purchase a system like you purchase of a bulletproof vest. Do you really want to purchase the cheapest bulletproof vest, if you are trying to stop the bullet or do you want to spend the extra $200 and get a real bulletproof vest. In our case being the public company in the space, being the one that continues to mount and rack up the biggest number of marquee wins has a largest customer base and is more important, perhaps, largest in terms of its support organization with people and investing the most in its products. It is a -- we become a safe harbor and the best potential strategy solution with CEM for those customers. As I said, I mentioned, the large insurance brokerage and it was a quote, they said, we were excited about you, but what really blew us away was your CEM strategy, because in that case they didn't buy CEM, they bought Mass Notification, but they wanted to go with an organization that could present them all four of the products integrated over the next few years and could grow into that. And again it’s like an ERP strategy for us. We want to own and support an organizations single pane of glass view of critical events and help them reduce the impact to both loss of life or increase safety and security for people, but also keep the business running. And so whenever these events happen it drives both the business and it’s increasing the numbers and the size of the transactions because people are starting to say, I need to deal with that with one vendor not with five.
Nick Altmann: Got it. Thanks guys.
Jaime Ellertson: Yeah.
Operator: And our next question comes from the line of Dmitry Netis with William Blair. Your line is open.
Dmitry Netis: Thank you for squeezing me in gentlemen. I will be quick. I have two topics I wanted to touch on. One, Jaime, is just I recognize there is a lot on the plate in North America, but wanted to zoom in on international, it’s been hovering around 10%, what really need to happen they are for this theater to inflect. I know you had some relationship there with International SOS, Lenel, et cetera. Are those moving themselves out? Are they running below expectations? So that’s one and then the second topic is more on the, again Internet of Things type of market or replication. I know it's been sort of loss in translation here as of late and it is a big thing. And so want just quick damn there, what’s happening with some of your partnerships, any roadmap items with kind of conversational AI platform, like [ph] Electric or Atena (01:05:23), et cetera and maybe some of the stuffs you have been doing in the medical field? Thank you.
Jaime Ellertson: Okay. So internationally you are right. But let’s remember that as we grow we have to grow internationally to keep up with 10% or slightly higher, right. So I don’t want to give you the wrong impression national is growing. It is just not necessarily outpacing our U.S. business. And I think a couple things need to happen internationally. We need to be able to have the correct team on the ground then we added a significant manager that reports to Bob Hughes, Javier Colado in just the most recent quarter when we announced Bob joined the team. At the same time, Javier the kind of GM for international joined. And we had just opened up our Asian office with a few bodies and started to get involved in Asia as well. And so, I think, what you should watch for is increasing deal activity as we said a deal like our ITA deal that I mentioned on the call being the largest in history internationally was a -- that's a very significant item and I think you'll continue to see some of those progress with big deals and the same productivity we've had in the U.S. It does tend to trail a little bit behind. And then, as I mentioned, one of our infrastructure projects, project Atlas in combined with our other security measures for international data put us in a better position in the coming year for infrastructure distributed globally and resiliency. And so, I think, a couple things will happen internationally to deliver that growth along with the products and training that we need to get off with right management internationally. Added to all that, I think, I have said at least for the past two calls that if you saw us do something and we are entering the quarter where we said, you shouldn’t be surprised to see us do something on the M&A front. We said we might continue to tactically execute to expand in strategic markets internationally through M&A, simply because in some cases we can acquire more cost-effectively than build out the standard put 10 employees in an office and tranche away with vetting vibe of amount and learning how to sell and then finally get a couple customers and then more and then references and then grow. And so, that is kind of the way we think about the international market. And I would tell you that I would stay tuned to see us continue to execute there. We do think it's one of our largest opportunities for faster growth, because of its size deal and the lack of penetration. But it has been behind a very busy U.S. market and it does have to continue to grow just to keep up with the U.S. The second part of your question was…
Dmitry Netis: IoT?
Jaime Ellertson: Oh! IoT, so on the IoT front, quite frankly, you will see on the CEM architecture vision that we put out this next year, our IT Alerting product first coming into the CEM vision and how that integrates with our ability to identify digital, as well as -- digital technology, as well as people places and then things. The things could be dam or a series of tollgate or digital devices measuring temperature in vineyards or chicken coops as we have mentioned in the past. And so those will come into the initial CEM suite through our IT Alerting product, which will be integrated architecturally this next year and then IoT follow behind that, because that is the vehicle we will use for lot of that IoT expansion. So I would stay tuned to see that from a early to middle of this next year the architecture and how are starting to win customers there, it has to take a little bit of a back seat behind our rapid growth in CEM, but it is absolutely part of our CEM vision long-term for growth.
Dmitry Netis: Very good. Thank you for that. Very helpful insight and keep up the good work gentlemen.
Jaime Ellertson: Thanks.
Ken Goldman: Thanks.
Operator: I'm not showing any further questions. I would now like to turn the call back over to Jaime Ellertson for any further remarks.
Jaime Ellertson: All right. Well, thanks everyone for joining our third quarter call. We are excited to deliver the strong results in Q3 2017 with revenue and adjusted EBITDA both exceeding the high end of our guidance range is large there. We are also excited about our ability to close the deals we are closing with increased ASPs in the third quarter and we continue to be very enthusiastic about the demand for our solutions and our opportunities going forward. We look forward to speaking to you again and thanks again for attending the call. Good-bye.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program. You may all disconnect and everyone have a great day.